Jacques van den Broek: Yes. Thank you, Molly. Good morning, everybody. I'm here with Henry Schirmer, and our IR department to present Q3. And well, you heard me say when we presented Q2 that I would have immediately signed off with those results when we were in the depths of the crisis somewhere early April and that went for Q2, definitely goes for Q3. So let's immediately go to Slide 6. And yes, so it's been a memorable quarter in many ways and we continue to live a very challenging times given COVID. And our key priority is and remains the health and safety of our employees, our candidates, our clients and all our other stakeholders. But then again, we do feel and see that our Q3 results demonstrate our stronger operational agility and our highly experienced management teams, of which I want to give them an enormous compliment if they are listening in at the moment. And at the same time, it also underpins the resilience of our diversified portfolio throughout the world. And you know and it shows again the counter cyclical nature of free cash flow. Despite facing these unprecedented times, we also celebrated our 60th anniversary last month. It's normally every five years is a big deal with events across the world like physical events. So we totally had to pivot of course towards a digital event with 35,000 people two weeks ago on a Tuesday, six live events. And what a story of course it’s been, Frits Goldschmeding starting business 60 years ago from a student room together with another student colleague. And we are now the biggest HR service providers in the world, last year providing more than 2 million people with HR. And we do believe that we're in an excellent position to further strengthen this global market leadership, fueled and supported by our digital and growth initiative new ways, a little bit more on that one later. But at the same time, with this position comes responsibility. So we do remain committed to finding jobs for as many talent as possible in the coming months, with or without re-skilling in the same or in different jobs or different sector. And we definitely feel the strong responsibility, very happy to say that in the depth of the crisis, 150,000 people lost their jobs while working through Randstad. And we've now brought more than 140,000 of these people back, which I think is important because there's a lot of societal debate about gig work and flex jobs. But we do take care of people, the sector, the well-regulated part of the sector, which is not just Randstad, many companies around the world they do take care of people. But on top of that and stated already in last quarter, we signaled an immediate need for re-skilling and outplacement. What is interesting is that if you look at the long-term of the labor market, white collar jobs will be on the pressure. Through COVID more blue collar jobs around airlines, travel and to payments, different jobs are under pressure. But we already even now are feeling that same structural scarcity in tech jobs, in educational jobs and in healthcare jobs. So interesting times. And I do urge everybody if you're unsure about your job go and have a call. We're partnered with many companies. We launched our Boost program in the Netherlands to re-skill people, again, the pledge of 40,000 people to be re-skilled in the U.S. And you also see our integrated and digitally announced outplacement lot from RiseSmart really provides help here. We talked a lot about digital. And what is interesting is that with the same digital support, we are now handling a different market. The market has pivoted from a candidate-led market to a client-led market. So our data-driven sales, which used to provide our consultants with information to go through a client to say, well, this person is tough to find, this is what you need to pay them, now gives them input on which clients and which sectors are wanting people. And then we go through those clients to set up a quick order fill. So we install digital tooling. So that with one push of a button they can order people. A candidate, the same tooling towards candidate, was meant to get engagement. People are in a job to provide with information on the better job but now people are insecure. So we send out messages like, update your profile. If you're insecure let us know, and we'll put you, ready to find another job within the hour. So same digital tooling but different usage. Although on back of this we've created our new ways program. New ways for us is the term that basically goes for everybody. Our clients need to find new ways, our teller need to find new ways, even society as a whole needs to find new ways to cope with the new normal. But at Randstad we can benefit from it. We are mainly aligned everybody so we can reach out to maybe two times, three times as many clients and companies as we did before using technological tools, and that's what our people are doing today. And we are absolutely convinced that that will lead to a more outperformance in more markets going forward. So back to the third quarter. In line with our statements in July, top line trends continue to gradually recovery in most of our geographies, supporting the easing of country lockdowns at that stage. Momentum is slightly improved throughout the quarter. September was the best month, but it's continues in the first week of October. So every week an employee is working, which is what we get every week, has been better than September. So good news on that front. At the same time, feasibility of course remains limited with still ongoing macro economic uncertainty and recent size of partial lockdowns. But we are pleased with our top-line and EBITDA performance in Q3 and reflecting and Henry will talk about it, a strong recovery rate of 53%. It's a balancing act. We want to bring back almost everybody to work at Randstad again. So we want to protect employment. But at the same, time, we've continued to invest in technology. And I'll share that later on in the presentation where we are in that sense. But I compare it in Q2 the situation with now and it's a totally different situation. So 2009 was a total financial crisis. So basically, everything was down. And if this is the trend then 2020 is going to shape up for us to be a way better year than 2009. In 2020, now there are sectors which are good, are stable, are even winning. So our good sectors are life sciences, logistics, food, retail, anything online, health testing, government support. So for example, in U.S. there is almost no infrastructure to handle unemployed people. So we support those actions. There are stable sectors such as IT, working from home and then there are sectors, which were already heard in Q2, which is airlines, travel, restaurants, catering, events. And then automotive is very much hit in Q2 but we do see green shoots of automotive recovering less than right, for example, in our Polish business, but to a certain extent also in our German business. So what we see now despite the news about the virus is that those economic sectors are still strong. And there's one difference with Q2 and that's the value chain. In Q2, the value chain was broken. China was down. Parts for many of our clients were not going from China to Europe and within Europe. So many companies have to stop producing, not because of COVID but because of a lack of parts. So let's move to the country. A very solid performance for our North American business. As you know, our North American business is the biggest business we have. It's also by far the biggest market. So our staffing and in house business really outperformed the market. Our in our business has even been positive in September. Our American colleagues have sold in 2020 more than 55 of new in houses already and you can imagine if they all come back to life that is a big winner for us. Our U.S. profs business, very happy with our IT business but our U.S. profs business is many businesses. So let me quote, Karen Fichuk, our American Board member, very happy with the performance of Karen and her team has set. Karen says, we're very pleased with our performance in our technologies and life sciences business. We're addressing market shifts and buying trends in our professional businesses to continue to provide the right service and success for our clients and internal performance expectations. A key component of this focus will be the further alignment and focus on large customers into nontechnical and F&A space, as well as fueling additional investment and focus within our technologies offering. So our IT business, our technologies business, is currently performing so well that we are investing. So we are hiring extra people in this business to strengthen our situation and our presence in the U.S. You know we’ve talked about this before and it does seem to reap the benefits. And then of course, also a very stable EBITDA margin, because bear in mind, North America doesn't have any government support message. Also Canada bouncing back well, that is very much also what you see in many other countries opening the economy. The France, quick rebound, probably one of the strongest ones from minus 41 to 16. So we've seen -- well, that was the most worrying and we have data points of minus 60 in March. But no getting back again, also here in house, a very strong performer. Profs very resilient. Our healthcare business, of course, growing. We are by far market leader in France in healthcare. As I said, we had Frank coming on the last flight out of Australia into France, and Frank is on a tour in France. So visiting all of our business if possible physically and that is by enlarge still possible. So good thing. And we do see a lot of positive energy in our French business, a notable recovery in automotive, manufacturing and construction. And also our firm fees bouncing back from minus 52 to minus 20, I think in the given circumstances is a very strong performance. One thing I would like to mention on France is our OZ business, the business's statement of work. They are very much exposed to tough sectors, such as aeronautics and automotive. So there we still have some idle time issues but still compared to Q2 a great result in our French business. Our Dutch business, great on the profitability. I think you always as a market leader have the responsibility to keep a healthy pricing climate. And that's what we're doing. In general by the way so far, pricing is stable. Henry will talk more about that. It's a mixed picture and we're very honest about that for a company within the Netherlands. Europe, very stable above market performance. Tempo-Team is really the company that jumped on this new way program. If you look at their sales activities per person, 3 times more than in the early part of the year and they are in September above market. So very happy, great performance. At Randstad, I mentioned last year we changed management team. I spent a lot of time in the business with our people and I do see the positive momentum. I do see the vibe within our Randstad team but we still have a ways to go to outperform the market. They all know that and have all the confidence that they will pull that off in the next quarter. Germany 31% down, 21% now. I mentioned green shoots. There are some green shoots in automotive and manufacturing. We also think that is largely due to these value chain elements I talked about before. Yeah, let's see. What we also did, because we're not in survival mode as a company and we're still investing, there's a very successful back office integration of all our labels in Germany. So I think a major complement that throughout this crisis we're still building for the future, gathering more strength in the combination of our German businesses. And again, also positive momentum, employees working in Germany are improving as we speak in October. Our Belgium business, I mentioned how important it is for a market leader to maintain pricing discipline. And Belgium does both. They are outperforming the market and they also have pricing discipline. And look at their EBITDA performance I think that is absolutely a stellar performance of our Belgium business. They've always been very reliable and a stable member of our family. But definitely this quarter, they showed what they're made of. Italy, we all remember I think that Italy has been the first European country being very hit hard. But since then we see a very speedy activity level recovery, very significant in Q3, but again also in October. Our revenues were just down 10% and again, minus 33% in Q2, so what a return. What is interesting to see is the more longer picture. Because what we've seen in every crisis is after the crisis penetration rates go up. We are already in talks with our clients on when they see momentum again, how they will manage that. And countries like Italy but certainly also Spain, are countries with above European level [penetration]. And given our position there and also the good results and good pricing, we're very positive about the potential of our Italian business of course, the second economy in Europe. Iberia, again, there's a theme here, big bounce back, minus 37 to minus 16. Also, our in house business leading the way there. Spain is an important member in our new ways program. They have a very diligent digitally supported way to reach out to their market. And we're using a lot, we're sharing a lot within our global business. And that's what we see also. You might say we're not seeing each other anymore. But in our company, online sharing and therefore sharing of best practices was actually quicker than pre-COVID. So I'm not going anywhere anymore but still we’re very happy with that exchange of best practices. The trends, well, UK also you see basically the same theme everywhere. I would like to mention Poland here, because Poland is actually growing. Poland still, a lot of the Polish business is western investment, automotive, that sort of thing. So growing and actually already finding tough again to find people. And then we have sort of almost eternal star, but it's like a little over a year now, which is the rest of the world. And I really want to single out Argentina and Brazil this time. We mentioned the sectors and we also mentioned how we help our people through data driven sales or where to go. Henry calls this fish where the fish are. And our Argentina and our Brazilian business really pivoted their portfolio within Q2 and Q3 and they're actually growing, targeting growing sectors, absolutely stellar performance. And as you can see, overall as the sector as an area, as a region, at a very stable EBITDA. A few words on our global businesses. First of all, reshaping, reorganizing our business under Rebecca Henderson, all our global businesses under one roof is really paying off for us. What are we doing at Monster and what is our goal just remembering here, because we went on investing. Monster has 20 times more traffic in the countries where they are than any Randstad business. So by investing in technology and that investment will be ready Q1, Q2 next year, we capture that traffic. We lead these people into our database. So you will have online questionnaires like, okay, you registered at Monster, but do you know Monster is the part of the largest HR services firm in the world. So if you want us to support your career, please give us the go ahead to manage your career and be part of our database. So that's what we're doing at Monster. At the same time, we're investing in a self service platform for smaller clients, therefore, pivoting our people towards the clients that really matter. We're also going to sell job board functionality on our European and American websites, meaning for our clients that they can put up job boards, they can put job ads on a job board, or Monster, or Randstad, or Yard, Tempo-Team or wherever they do that. And at the same time, if it’s not panning out and those job ads are generating anything, we can come to them and get follow up, maybe selection, different ways of approaching people. There is on the client side and on the candidate side, we want to build the biggest talent engine in the world. We're very happy with the fact that we kept on investing so more to come on this one. In our shoreside business, of course, RPO Perm heavily hit but the pipeline in our MSP business looks very healthy. And then last but not least, Dan and your team, big compliment, RiseSmart, doubling in size. And as we speak, a lot of discussion is going on with companies on how to face the future and have if they can’t support their people a new job for people and therefore, RiseSmart a very important part of our business. So, that's it for me. Henry, the numbers.
Henry Schirmer: Thanks Jacques. Good morning, everybody. So also from me before going to the numbers, let me also share a few reflections. So let me first start with saying the company could not have been in better shape facing this COVID challenge. So not only are we experiencing the highest level of engagements across the entire Randstad group, we’re also benefiting from our deeply rooted value to care for all our stakeholders, the customers, talents, employees, the communities we operating in and of course for our shareholders. And secondly, building resiliency into the portfolio be it from a geographical concept to industry diversification, shields our company from too much exposure and work like a shock absorber for volatility. And our performance throughout the crisis definitely benefit from our strong portfolio. And going forward we are committed to develop this competitive advantage even further. Lastly the work done to introduce further optionality into the cost base in conjunction with the counter cyclical cash flow model injects an invaluable layer of financial security into the equation. So let me now provide some factual evidence of those points and dive into the quarter three results in more detail. Organic revenue growth for Q3 came in at minus 13% compared to minus 25% in quarter two, with momentum further improving throughout the quarter. It does reflect the gradual realization of country lockdowns in most of our regions, and in combination with our relentless drive and focus to bring our talent back to work quickly. Gross margin in the period was down 120 basis points year-over-year, broadly in line with our expectations due to significant adverse impacts related to COVID-19 and mix effect. And we delivered another quarter of balanced cost management with operational expenses down 12% organically year-over-year, our recovery ratio of 53% clearly benefited from our ability to get talent back into jobs faster than expected. And in addition, throughout the entire COVID period, we were able to fully support investments into our digital journey as we will also stay the course going forward. In general, we're spending majority of time supporting the growth agenda, which makes it so much easier to drive productivity as a result of it. EBITDA came in at 199 million, reflecting an EBITDA margin of 3.9% and momentous improvement from quarter two. The next slide, integration and one off costs were €26 million, significantly lower year-over-year, reminding of the fact that we address some structural cost challenges already ahead of COVID-19 clearly benefiting the cost base this year. And please note that finance costs are zero this quarter, benefiting from favorable currency effect. So with that, let me now go to the next page and talk about gross margin in a bit more detail. So here as you can see on the left, the temp margin was down 30 basis points year-over-year, which is an improvement to the 60 basis points dilution seen in quarter two. Our temp margin was still impacted by COVID-19 related effects like idle time and some adverse mix impact given the pronounced recovery in our business and lower gross margin. This is purely a technical effect with our business having above average EBITDA conversion. Please note that we observe a generally stable pricing climate across the board. The 34% decline of our firm business triggers a 60 basis points mixed effect in gross margin in quarter three is broadly the same mix effect we've seen in quarter two. And the same goes for the bar on the right, representing HR solutions, showing a 30 basis points negative impact in gross margin in the quarter. This mainly reflects mixed effects relates to Monster and ForEx headwinds. Our gross margin cost going forward remains difficult to predict in the short term, given many moving parts, such as top line developments, firm trends, et cetera. With that, let me go Page 15 and talk about OpEx. As you can imagine, the sustained recovery in top line, albeit still down year on year, more than ever requires a balanced approach towards cost management and resource allocation. Sequentially, we report organic OpEx up €33 million. However, still with a very material year-over-year decline of 12%, amounting to more than €100 million of cost reductions saw across all cost categories. Cost flexibility introduced through employment protection schemes, like short term working arrangements, materially decreased from around €15 million in quarter two to about €15 million in quarter three and therefore, reflect only a minor part of the year-over-year year benefit in the OpEx spreads. For quarter four, this is expected to be close to zero. As we mentioned before, we continued our structural approach to drive cost productivity and to utilize the power of one Randstad. Our cost optimization program announced in November last year could not have come at a better time and helped us gain more clarity of what makes the world faster, and what costs might not be crucial to win in the marketplace. Our journey to drive productivity continues and is part of our DNA. We always like to operate from a position of strength. And as mentioned in my introduction, we seek to stimulate the climate of entrepreneurship within the company where growth initiatives will be fully supported with appropriate investment. With that in mind, let's see how our cash flow and balance sheet is going on Page 16. As far as cash flow is concerned, quarter three goes into the books as quite an atypical quarter with some moving parts needing a bit of explanation. The free cash flow of €494 million was supported by full monetization of the outstanding CICE amount of €360 million, partly through a regular CICE cash inflow of €95 million relates to the subsidies received in 2016 and partly through the sale of the outstanding receivable of €265 million. The CICE collection more than compensated the impact from lower EBITDA and some additional working capital requirement needed to support the sequential growth experienced in quarter three. Government relief measures had no material impact on free cash flow in quarter three and debt collection and DSO has strengthened further. Overall, the business delivered another quarter of solid free cash flow, which confirms the resilience of our free cash flow generation through the cycle. As we said before, what started as the health crisis has developed into an economic challenge for many companies out there. And hence we are very clear to keep a very close eye on credit risk, debt collection and risk management in general. In that regard, we continue to deploy additional resources to keep that risk in check. Let's move now your attention to the right side of the slide. Zooming in on the strength of our balance sheet. Starting with our leverage ratio, it stands at a negative 0.3% at the end of quarter three pre-IFRS 16. So a clear net cash position supported by the monetization of CICE and the utilization of selected use of deferred payment terms regarding social security liabilities. Stripping both effects out, our leverage ratio was still so healthy plus 0.3, which directly leads to the question of capital allocation and capital return. It will not come as a surprise that we looked into the possibility of capital returns already this year. While the financial strength of the company is evident we said we had to apply a wider lens than just financials into the decision. The very unfortunate resurgence of COVID infections is a stark reminder that this crisis is not yet over, and is guiding us to fully focus on bringing back as many talents into the employment. Naturally, we will take stock of the overall situation at the announcement of quarter four results in February next year. Please rest assure that a very disciplined approach to capital allocation is an integral part of who we are as leaders of the business. We remain committed to our capital allocation policy and the circumstances of the health crisis and subsequent business environment in that regard is unique. And hence, we can only thank you for your trust, patience and understanding. And that gets me to my last chart, the conclusion and outlook. Stated before, the pace of revenue declines in the beginning of quarter three eased throughout the quarter in most of our markets. We exited the quarter at a sales decline of 11% year-over-year per working day in September and did observed further positive momentum in the first weeks of October. At the same time, as Jacques stated, we observed also the resurgence of COVID-19 infections and subsequent partly lockdown measures and hence, visibility remains limited. Our golden rule to aim for a 50% recovery ratio will also be applied going forward. And for quarter four, we expect a recovery ratio of somewhere between 40% to 50%, reflecting more aggressive investments and growth opportunities, largely offset by ongoing agile cost management. Please also be reminded that most furlough schemes will further unwind in quarter four. So that concludes our prepared remarks, and we are now happy to take your questions. Back to you, Molly.
Operator: Thank you [Operator Instructions]. The first question comes from the line of Paul Sullivan calling from Barclays. Please go ahead.
Paul Sullivan: Yes. Good morning, everyone. Thanks for a very sort of comprehensive overview. Just to follow up, I'd be interested to know what clients are saying to you about the sort of the pace of return to work. I mean there was a concern that furlough schemes would distort the recovery, but that doesn't seem to be the case. And what are they talking about in terms of the use of flex and sort of temp splits as we head into sort of next year? And then just on the balance sheet, I appreciate the timing is a challenge. But in terms of the bigger picture, do you still see 1 times sort of net debt-to-EBITDA the appropriate level of gearing for the company? Or does the crisis suggest that you should run the balance sheet slightly more conservatively going forward?
Jacques van den Broek: Yes. Good morining, Paul, I'll take the client one and of course, Henry does the finance one, and no surprises there. Yes. Well, my predecessor always said, if you don't listen to your clients, you go bankrupt. And if you listen to your clients, you go bankrupt, too. Because, of course, for them, visibility is also limited. But what we did is throughout the crisis constantly kept in contact with them to how are you seeing the business? Do you need to take people out? We're there for you. Yes. At the same time, we also see sickness increasing sometimes at the client level, which of course, they need people from us. I'm absolutely sure, as I mentioned in my prepared remarks, that after this crisis, in many markets, we'll see contingent as a percentage become a bigger part certainly for the beginning of getting out of this crisis. So that's why we are so frequently in contact with all of our clients, and this is very much part of our newways program. So optimistic there.
Henry Schirmer: Yes. Thanks for your question regarding the balance sheet, Paul. Yes, look, let me first say -- of course, we will first focus on delivering another hopefully strong quarter in quarter four. And visibility is limited still. And when we take stock after the year is finished, there is no automatic 1 times leverage to be assumed. We will take stock of the situation we are in with the markets we are in and then take the right decision serving all our stakeholders at that time.
Operator: The next question comes from the line of Sylvia Barker calling from JPMorgan.
Sylvia Barker: Three questions, please. Firstly, I was hoping you can talk about how you set your recovery ratio guidance and why, I guess, it was a lot better across all regions, at least, versus where we were and versus the overall group guidance. Have you assumed kind of a different operating leverage dynamic across the board? Was there any particular one-off? For example, Manpower talked about kind of a one-off benefit from outplacement and some accruals in France. Just trying to understand, especially given the guidance is, again, a little bit lower for Q4 versus Q3. Secondly, I'm interested to hear your experiences from countries under partial lockdown. It doesn't seem like the partial lockdowns in France or the impact that we're seeing on leisure is necessarily having any impact on the temp market. But what about the Netherlands and how do you think about that going forward? And then finally, a bit more structurally maybe for this cycle. It seems like there's quite a lot of sector migration. So we're seeing structural declines in some sectors like auto or aerospace, but then you're growing a lot in logistics. I guess how easy is it for you to support that shift without putting extra costs in? And do you think that we might end up with an end market mix that might be faster growth, higher temp penetration, or is that too optimistic? Thank you.
Henry Schirmer: So there's clearly -- the pace of the recovery has probably been better than what we all thought at the end of quarter two but it's the theme here. So after the deepest point in April, there's pretty much a straight line week by week by week. And also we've also been vocal about it that our exit rate was better than quarter three and the first weeks of October were very promising also. So whilst that is very hard to predict where that is going, but that is by far the biggest impact on the recovery ratio. In addition to that, there is no one-off. Actually, I would call our results with a very high quality in terms of provisioning, et cetera, et cetera. It's all rock solid. But yes, we are a very commercial organization. Our people across -- our teams across the globe, they look at top line and bottom line. And whilst we are still investing, we probably are very aggressively focusing on the top line, on the front-office investments and are very, very careful in how we spend our money in the not growth-supporting areas, and that has led to that good recovery ratio.
Jacques van den Broek: Yes. One more word on the recovery ratio for us. This is not carving stone. We say 40% to 50%. And if we can do 40% by investing in the right stuff, we'll go 40%. So this is not the predominant KPI we would like to excel at. And certainly in our newways program, we are investing. We are, in a way, bringing more people back than a pure recovery ratio focus would imply and sell more and see if we can take more market share. On the partial lockdowns, yes, well, what we're saying, and that's also what governments are saying, in a way, is go to work, go home and read a book or watch some Netflix. So it is a social lockdown because a country like this -- in Italy, people are quite disciplined. In Spain, France and also Netherlands, less so. So let's hope that we can continue to keep working because that's the most important thing for anybody. And then, yes, you're less socially active for a month or so, and then the virus is out. Same thing goes for testing, testing, testing and testing and maybe some testing. So the infrastructures in all the countries you mentioned, also Netherlands, France, need to be beefed up massively. We're quite, by the way, active in that discussion, and we think it can be activated and improved and grown in such a way that you have same-day testing for everybody. We can't have school professors being home for 4 days because they're waiting for a test or people working at the police and essential services. And we don't think it's necessary. So we're advocating a very active public-private partnership to beef this up. The shifting towards different sectors of fish where the fish are, for us, doesn't come at cost. We just pivot people to where they are. We're pivoting people sometimes from regular staffing profiles into the RiseSmart business to work on career counseling and outplacement. We're pivoting people towards health care to select the testers throughout the country. So our people are pretty multiskilled, and that works for us now. So it comes at no cost.
Sylvia Barker: And in general, I guess the sectors in which you're growing now, would you say that they are, I don't know, less cost-focused as clients? Or do they use more temps? Or is it quite comparable? Just thinking about year one, year two, year three of the recovery, whether that is material in any way.
Jacques van den Broek: Yes. As said, we've always observed a higher penetration rate after the crisis. So we see a lot of upside in markets like Italy, Spain, probably even France. And the world in general is moving towards way more flexible work, contingent work. And I think we need social innovation also to facilitate that so that everybody, when they're at work, either in a fixed job or in a contingent job, they can take care of themselves. So again, lots of opportunities for us as a sector.
Operator: The next question comes from the line of Matthew Lloyd calling from HSBC.
Matthew Lloyd: A couple of quick questions. One, just a follow-up on one of Sylvia's questions. Have you changed your assumption on bad debt accrual during the year? And has that had any effect on sort of operating profitability? Secondly, could you hazard a guess at how much of the temp demand is directly sort of COVID-related? Are you putting people into shops and factories who are actually putting up sanitization stores and things like that? And then thirdly, my sort of hobbyhorse, how do you think work from home changes the labor market and what you do? Some of your competitors, most notably probably Robert Half, I think that in the higher end white-collar market, it might release quite a lot of candidates for jobs that they wouldn't have been prepared to travel to before. But if they only need to be there a couple of days a week, then maybe you get a sort of more churn in the labor market. And labor market churn figures have been unusually high for a recession.
Henry Schirmer: Let me start with the first one quickly. No, we have not changed any policies. Actually, quite to the contrary, we've put much more focus on that area. We thought before COVID, we were very focused. And now actually, we form the [kitchens] thing at debt collection. And actually, we are making very, very good progress there. So also there is not a single sign of bad debt we've experienced. So no change at all, much more operational focus, and that's clearly paying back.
Jacques van den Broek: Yes. So how much is COVID-related, it's not material in our numbers. But yes, of course, it is an issue. As you know, in Q2, we started this alliance, 'safely back to work', in 26 markets, advising clients and governments to -- what to do on safely back to work. And that, of course, generated demand for testers and cleaners and that sort of thing. As I mentioned, we're very active in the testing environment in quite a few countries. In the U.S., we actually provide people with work-from-home facilities. So that brings me to the next question. For us, this is not new. It's just the speed of the development we saw before. We think that many processes around work will be digitized. 60%, 70% of job content for people will change. It's just going faster. So as an employer, you really need to facilitate the shift. And absolutely, if you work from home from one company, the shift to another company is definitely easier than in the physical world. And also, how you run a business, how you engage people, we mentioned the fact that we did an online event for our 35,000 people with, by the way, continuation throughout the rest of the year. That is stuff you need to do, how you motivate people who are working from home that you basically don't see a lot. And is it a USP for you? Many people will want to continue to work from home in some shape or form. So yes, it's going to definitely change the labor market, but for us, not unsurprisingly.
Matthew Lloyd: Just a quick follow-up question. If I was a client and I found one of your offices for an IT person, how easy is it for your staff to suggest that there is actually somebody in a different city who would be a perfect candidate but would want to work from home? How ready are they for the acceleration that we may see in people wanting hybrid working? Could they offer me a candidate quickly?
Jacques van den Broek: Yes. Well, phoning for a candidate is very old-fashioned, Matthew. But anyway, I'll give you that. First question we would say is do you want a candidate? Yes, sorry. Do you really want a candidate? And if you want a candidate, you want to hire them. Do you want them permanent? Contingent? Or should we put the job on one of our platforms so that someone will perform it for you somewhere remote? So lots of possibilities. Of course, the answer to the question of a client is always yes. That's how we train people.
Matthew Lloyd: And for the job about my age?
Jacques van den Broek: I don't know your age. I'm just reacting on what you're saying.
Matthew Lloyd: You know how long I've been covering the company. You can probably guess. But don't worry, it's not a problem to me. I'm aware of it, so don't worry.
Jacques van den Broek: Yes. Welcome to my world. I'm 60. I would just invite it from a mandatory flu shot because I'm very vulnerable apparently. So live and learn.
Operator: The next question comes from the line of Marc Zwartsenburg calling from ING.
Marc Zwartsenburg: Congrats on the quarter and, of course, on the 16th anniversary. My first question, Jacques, you talked about client feedback a bit early on one of the questions. But if I then compare what I saw yesterday from Manpower, what I see today from you guys is a bit of contrast in terms of trends in the last couple of weeks. And the key question then is, is it just market share wins? Or is it are they seeing a different sort of economy? The key question then remains, is it the economy really continuing to show that momentum or is it just you doing better than competition? That's my first question.
Jacques van den Broek: Of course, it's the latter, Marc. But no, no, it's what I explained earlier in the call. So again, in 2009, everything was down. There was no financing, there was no consumer confidence, that sort of thing. And so that is 2009 compared to now. At the same time, there's a big difference between Q2 and Q3, and that's the value chain. And of course, I cannot vouch for what Manpower looks into the world. You should check with them. Yes, we see in October that every week an employee is working is better than the week before. And October, as a whole, is shaping up to be better than September. And ideally, it's also market share. Certainly, you know this, our Inhouse business is a little over 20% of our business. If that starts to shape up again, and with 50 new clients, for example, in the U.S. but also quite a few in France, for example, yes, we're doing relatively well in tough environments. That's all I can say.
Marc Zwartsenburg: Then a question to come back on the capital return, Henry. You mentioned in your statements to remain committed to the capital return policy. At the same time, you also made an adjustment to the leverage ratio. Should we also, in terms of thinking about the leverage ratio, adjust for the CICE sort of receivables to €6 million, €5 million? Should we strap that out and then return back to your capital return policy? Or how should we be thinking about this?
Henry Schirmer: No, not necessarily. Look, let me talk about dividend really more after we have the full year numbers and then look into the business environment and make decisions of what is best at that point in time. Our capital allocation policy, we've looked into that naturally, again, provides the right flexibility to give attractive returns and, at the same time, also keep enough capital allocation for supporting growth in the business. So let us put in another good quarter, hopefully, and then we come back on that question in more detail in February.
Marc Zwartsenburg: And then maybe then following up on the selling of the CICE subsidiary. What is the rationale behind selling it? If your balance sheet is so strong, what is then the key reason? Because you're also quite disciplined and are always quite cautious about the M&A part of things. So what is really driving that sale of that subsidy?
Henry Schirmer: We need to go back to April when the business environment was very dire, with a minus 30% decline at that time. You didn't know where the thing is going. And then you put a decision in motion. And that's turned out to be at very attractive terms for us. So I might rather have the cash in the bank than a receivable on the balance sheet without any material costs at all. So therefore, no harm done. It will not disappear. It just gives us a very good financial flexibility now.
Marc Zwartsenburg: And then the last one. I think yesterday, Manpower alluded also to tax rate changes potentially in France and the impact on the group. Is it something you can guide for Randstad as a group on the tax rate for next year?
Henry Schirmer: We see that things are moving in the right direction there, but we had a very intense discussion internally. We feel we are better served to wait until the moving parts are settling down a little bit. Quite often, you see tax benefits being announced and then somewhere in the overall is probably not the entire material benefit coming through. So give us a bit of time. We will stay very close to it. And as always, our IR department will also keep you posted on what we see. But in general, we also expect a positive momentum, but we don't want to guide on numbers here.
Operator: The next question comes from the line of Hans Pluijgers calling from Kepler Cheuvreux.
Hans Pluijgers: Yes. First question, on KPIs. Of course, you indicated already that, let's say, into October, the first weeks looking better, stronger than September on volumes. But could you a little bit maybe discuss on some KPIs and especially on new vacancies coming in? Is it also continuing to improve? Secondly, looking at efficiency, then again, looking at your KPIs, for example, at fill rates, how do you see that developing CEO, let's say, with the whole digital process there, your efficiency and especially your fill rates are improving? Could you a little bit elaborate on that? And how do you see that developing going forward? And secondly, on the cost, if you make a quick calculation, and maybe I'm wrong, but you indicated a €33 million sequential increase in your cost in Q3. The impact of the furlough measures is about €32 million reduction. So that means, in principle, underlying costs are relatively stable, but I can imagine that you're investing a little bit more. So can you give a little bit feeling on the other building blocks and maybe give some numbers there on how much more you invest? And at the same time, we do some additional cost savings. And especially also into Q4, what kind of amounts do you believe, let's say, you will invest more in additional supporting growth?
Jacques van den Broek: I'll take the first two, Hans. So yes, if our employees' working are improving, that means that we had more vacancies in, and we were also able to fill them. Fill rates, yes, in this point in time are slightly easier, again, depending on where you are, by the way. That's a very general statement in a business in 38 countries with eight business lines. But fill rates in general short term, it's a little bit easier compared to last year this time, of course, where we were very low unemployment elsewhere. But at the same time, we do see the underlying scarcity already coming in, hence, our efficacy for massive reskilling of people, getting them out of certain sectors, which are still hurt and they are in a government support scheme towards sectors where there's a demand with the training to boot. So again, fill rates, okay-ish, vacancies, of course, improving, therefore, more people at work.
Henry Schirmer: Yes. Hans, I don't want to go into too much detail on each of the OpEx lines, but what we really see after 6 months of COVID is that we have many, many levers we can pull on cost flexibility. And the same we are doing now going forward, we absolutely committed to growth in the business. So whatever is needed to bring people back into the jobs, we will support with the right people. And we look at 2 things. One is are we still underutilized in our capacity? And that's being used first. But then we also have focused where we're adding back people to really drive growth. That is all what we're all about. And when we get that right, it's very, very easy to get the productivity levels right and the recovery ratio. So don't push me into the very detail of each of the OpEx lines. But that's what we do, and we feel we have lots of flexibility in there.
Jacques van den Broek: And what I mentioned, Hans, is our U.S. IT business, very profitable business, still a low market share. The business is doing well. It's a well-run business. So we're hiring people. So we're opening up new geographies because we do feel the momentum is there, whereas in many other businesses, we're still bringing back people that were on furlough. So yes, we take these measures where we see opportunities.
Operator: The next question comes from the line of Rory McKenzie calling from UBS.
Rory McKenzie: It's Rory here. Just two please more structurally on the cost base. You've talked about the change in the world of work and how it affects clients. But how are you thinking about your own business? We see an accelerated branch closures as you shift more to a kind of online or virtual model? And how would that affect your profitability? And then secondly, in your remarks, you referenced a few areas where you were seeing good Inhouse contract wins. And what's driving that? Is that a wider behavioral change we're seeing and sort of pipeline for further Inhouse wins, please?
Jacques van den Broek: Yes, well, again, for us, COVID doesn't change what we have, our vision on the labor market and on client behavior, that sort of thing. So branch closures or the changing role of a branch, that is very much a discussion that we're having. Interesting is that from a candidate point of view, a branch has become less and less important over the years. But from a client point of view, certainly, in the SME space, being locally present is very important. So you do see the physical presence of our branch, not in a high street, but maybe in a white-collar industry park change. You also see that in major cities, instead of having 20 or 30 branches in Paris, we probably now have 10. So there are things going on. But from a P&L point of view, that's not going to change the day massively. Yes. Inhouses, the gift that keeps on giving. It's a very strong sector for us. It's very tough for competition to sort of imitate this sector. We also implemented workforce scheduling, so enhancing this offering digitally. And clients pick up on that. And this is very basic selling, going out, presenting the concept. Clients like it, and they buy it.
Rory McKenzie: And do those two points, does that change the competitive benefit from scale, I guess? I know it's been a challenging decade maybe to compete with small local staffing firms. Do you think of it over the next kind of multiyear cycle, we'll start to see more notable gains for the larger staffing agencies?
Jacques van den Broek: Yes, we were quite vocal on that. And there's 2 things driving that. The first one is large clients, either local or global, want to work with less suppliers. Hence, we created our enterprise group, aiming directly at some 160, 170 large multinationals where we increasingly see they want someone to handle all their workforce globally, supported by the right tech. So that's one. And the second one is what I call the biggest talent engine of all. Within 1 or 2 years, again, scarcity will be back. So small companies are just looking for active job seekers and providing them to clients can't cope with a company like ours with more than 200 million profiles that we can, through technology, reach out to -- proactively to see if they are interested in a job change and/or reskill people towards different jobs. So we do think this will drive further consolidation of a market which is still fragmented there. We have a little over 6% market share. We would be happy with 10% in a few years.
Operator: The final question comes from the line of Konrad Zomer calling from ABN AMRO.
Konrad Zomer: Congratulations on the anniversary and the quarter. Keep fishing where the fish are. Marc has already asked the questions I had in mind, so no further questions from me. Thanks.
Jacques van den Broek: Thanks for the wishes, Konrad.
Henry Schirmer: Thank you, Konrad.
Operator: We have no further questions coming through on today's call, so I'd like to hand the call back over to your host for any closing remarks. Thank you.
Jacques van den Broek: Yes. Thank you, Molly. So it's been a pleasure to talk to you this morning. And well, normally, I would say see you on the road, but we'll probably see you on the virtual road to discuss further how we are doing as a company. Bye, bye.
Operator: Thank you for joining today's call. You may now disconnect your lines. Hosts, please stay connected.